Operator: This morning, Bohn Crain, Radiant Logistics Founder and CEO, will discuss financial results for the company's first fiscal quarter ended September 30, 2012, as well as the company's recent acquisition of Marvir Logistics. Following his comments, we will open the call to questions. This conference is scheduled for 30 minutes.
 This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations or projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that had in the past and may in the future be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain. 
Bohn Crain: Thanks, Robbie. Good morning, everyone, and thank you for joining in on today's call. As we've discussed on our previous calls, we remain very bullish on the growth platform we have created at Radiant and the scalability of our non-asset-based business model. The heart of our growth strategy continues to focus on bringing value to the agent-based forwarding community, leveraging our status as a public company to provide our partners with an opportunity to share in the value that they helped create, providing a robust platform, which is translating into better purchasing power with our vendors and better technology solutions for our customer and offering a unique opportunity in terms of success in planning and liquidity for our station owners. This approach has made us unique in the marketplace and been key to our ability to grow.
 Within this framework, we are fueling our growth through a combination of organic and acquisition initiatives. Organically, we continue to focus on improving the tools available to our existing network, as well as expanding the network itself by on boarding new agent stations that recognize the benefit of our platform. In addition, we will also continue to be opportunistic in our pursuit of accretive acquisition opportunities to further accelerate our growth. Hereto, the core of our effort will remain on acquisition candidates who are linked to the agent-based forwarding community. This would include the conversion of our current agent stations like our most recent acquisition of Marvir Logistics in Los Angeles, the acquisitions of agent stations participating in competing networks like our Laredo and JFK acquisitions and ultimately, the potential acquisition of other competing networks.
 In addition, we also have an interest in other non-asset-based acquisition opportunities that are complementary to our current offerings, and these would broadly fall under the categories of truck brokerage, intermodal, non-vessel-owner common carrier and customs brokerage services.
 I will now shift my comments to our financial results, and then we'll open it up for Q&A. For the 3 months ended September 30, 2012, we reported net income attributable to shareholders of $403,000 on $79.1 million of revenues or $0.01 per basic and fully diluted share. This included a loss of $50,000 on change in contingent consideration and $251,000 in nonrecurring legal costs. For the 3 months September 30, 2011, we recorded net income attributable to shareholders of $655,000 on $71.8 million of revenues or $0.02 per basic and fully diluted share, which included $283,000 in nonrecurring transition costs.
 We also reported adjusted EBITDA of $2,506,000 for the 3 months ended September 30, 2012, which included $251,000 in nonrecurring legal costs compared to adjusted EBITDA of $1,639,000 for the 3 months ended September 30, 2011, which included $283,000 in nonrecurring transition costs or an increase of $867,000. Excluding these nonrecurring costs, the company would have reported $2,757,000 in adjusted EBITDA for the quarter or an increase of $835,000 or an increase of 43.4% over the comparable prior year period.
 A reconciliation of the company's adjusted EBITDA to the most directly comparable GAAP measure appears at the end of our earnings release.
 For the quarter ended September 30, we continue to make good progress on the integration of our recent acquisitions, delivering another quarter of solid double-digit growth, posting an increase of 52.9% in adjusted EBITDA over the comparable prior year period. As expected, our recent acquisitions have more than offset any softness in gross or in net revenues, resulting from the slowing global economy in general and the challenges we have encountered with the legacy operations of DBA Los Angeles in particular.
 As we've discussed on our prior calls, our ability to leverage our personnel and general administrative costs as a function of our net revenues is what really allows us to drive profitable growth. As a percentage of net revenues, our adjusted EBITDA increased from 7.8% to 11.2% compared to the same period last year. We are excited to see these metrics begin to come back into line with the DBA integration largely behind us.
 We're also very excited with our most recent acquisition of Marvir Logistics, which we completed on November 1, 2012, which combines well with our legacy DBA operations in Los Angeles, builds critical density in the strategic gateway location and is also expected to provide meaningful cost synergies, particularly with respect to facilities costs. We structured the transaction similar to our previous transactions with a portion of the expected purchase price payable in subsequent periods based on the future performance of the acquired assets and operations.
 The Marvir transaction and our long-standing partnership with Marvir founders, Tom Bowling and Walter Benvenuto, are significant in the evolution of Radiant Logistics. We launched Radiant in January of 2006 with the goal of bringing value to logistics entrepreneurs who would benefit from our unique value proposition with the immediate opportunity to become shareholders and share in the value that they were helping to create in conjunction with the longer-term opportunity to take advantage of a built-in access strategy available to the entrepreneurs participating in our network.
 Marvir was the first independent agent location to join the Radiant family as our initial platform acquisition of Airgroup back in 2006 and has consistently been one of the larger operating partners in our network. We are very proud to be able to support them in their transition and help them reach their individual goals. We believe the Marvir transaction showcases our broader opportunity to support other independent agent stations, both internal and external to our existing network. The company's flexible offering as an outright purchase or the opportunity to participate in the Radiant network as an independent owner with the option to sell at a later date like Tom and Walter have done have made Radiant an attractive partner.
 This remains a very exciting time in the evolution of Radiant, as our value proposition continues to gain traction within the forwarding community, and we remain confident that our growth strategy will continue to bring value to our operating partners, shareholders and the end customers that we serve.
 With that, I'll turn it -- the call back over to our moderator to facilitate any Q&A from our callers. 
Operator: [Operator Instructions] Our first question is from the line of Jeff Martin with Roth Capital Partners. 
Jeff Martin: Bohn, you didn't mention any update to guidance in the press release. Are you essentially reiterating the guidance? Or do you care to give an update at this point? 
Bohn Crain: The -- we're certain -- I guess, we would reiterate at this point there's a lot of moving parts yet to come here or as we go to the kind of subsequent quarters, particularly as it relates to the resolution of -- to the kind of the ongoing dispute with DBA and the arbitration proceeding and what kind of comes out of that. So I think ultimately, there's a lot of moving parts, hopefully, all to the positive as we kind of work through subsequent quarters. The economy obviously has slowed, and that's kind of reflected by the relatively soft revenue growth that we reported. So the economy does remain a concern, but I believe that as we've kind of historically demonstrated, I think we've got -- we're well positioned in the marketplace to respond and kind of deal with the slowing economy and at the same time, able to respond if the economy picks up. So all in all, I feel pretty good about where we are. I'm particularly -- in my prepared comments, we would pay very close attention to what percentage of our gross margin dollars we're able to get to the bottom line. In prior quarters, we had a lot of these nonrecurring transition costs associated with the winding down of DBA's legacy back-office operations that they've kind of finally worked through all of those, so that kind of noise that has been in our financials for the past couple of quarters is behind us now and why we're kind of seeing the kind of the more traditional and normal metrics that you expected start to show themselves again. 
Jeff Martin: Okay. And then can you give us the pro forma comparable revenue base from first quarter '12 if all acquisitions were included? 
Bohn Crain: I don't have those numbers immediately available. The -- I -- we were kind of looking at some of that analysis earlier this week. I think our same-store revenue number were down about 5% is what the analysis was showing. 
Jeff Martin: Okay. That was my next question. And then could you touch on the domestic international revenue mix? 
Bohn Crain: I think, we've seen an uptick on the international side on the comparable basis, and that's really driven by the JFK and ALBS transactions. So most of that kind of step-up on the international side is a byproduct of our acquisitions. 
Jeff Martin: Okay. And then could you give us an update on how Laredo is progressing? 
Bohn Crain: Laredo continues to do very well in terms of its contribution to the network. It's probably one of the shining stars in the portfolio in terms of their performance. So we're really pleased with how they have performed individually, and we're still pretty excited about some of the, I guess, the macro trends and near-sourcing and what's going on in Mexico and think that will continue to be a great contributor to the portfolio for a long time to come. 
Jeff Martin: Okay. Good. Perfect. That's good to hear. And then could you also may be help us in terms of modeling, is there a noticeable quantifiable impact in terms of agent commissions and cost of transportation relative to the Marvir acquisition? 
Bohn Crain: The -- at -- not yet. The -- we need to get a little further into that integration process and before I think it would be appropriate for us to kind of quantify what some of those things might look like. But here, over the next month or so -- and our -- I guess when we report it to you in February, in connection with our results ended December, I think we'll have -- we'll be able to talk a lot more tangibly about the -- kind of the net-net impact of the Marvir transaction. 
Jeff Martin: Okay. I mean it would help to know a ballpark of annualized revenue for that, and then we can assume some sort of relationship. 
Bohn Crain: Well, let me tell you -- take the opportunity to kind of highlight one of the dynamics kind of associated with Marvir. Marvir is an existing agent station and existing network. So the revenues from Marvir are already included in our results just by operation of how agent revenues are recorded in our network. So Marvir... 
Jeff Martin: Right. I understand the concept in terms of the agent commissions that go away associated with it. 
Bohn Crain: Correct. Correct. And so we'll kind of work through that. But I don't want to get ahead of myself or get outside of what we have put in the release and create any other disclosure requirements from ourselves. So I'm going to leave it. I am going to -- we purposely didn't get down in the details on the Marvir transaction. I need to kind of leave it there for now, but we will get back to you with more detail at an appropriate time. 
Jeff Martin: Okay. Okay. Understood. And then finally, could you update us on available credit from your facility that stands today? 
Bohn Crain: Yes, the -- at September 30, we had about $11.5 million of availability. And we continue to have some kind of good pay-downs post-September 30. So I think currently, we have $10 million -- we have our $10 million in sub-debt with Caltius, and I think we're down to maybe $6.5 million drawn on our BofA facility. So we're making kind of good progress on the debt side of things, just a little bit of free cash flow starting to kind of kick out, which isn't necessarily reflected in that 9/30 cash flow statement. 
Jeff Martin: Sure. Sure. And then one more question if I could. What was operating cash flow in the quarter? 
Bohn Crain: I think we show kind of a net consumption of cash in the press release about $1.5 million -- $1.4 million I think, but that has definitely kind of reversed itself at least where we sit today. 
Operator: Our next question is from Tim Fonda (sic) [Jim Fonda] , Sidoti & Company. 
James Fonda: Can you describe a little bit the synergies you hope to gain with the acquisition of Marvir and how long that will take to implement? 
Bohn Crain: I can certainly do it generically. The one of the benefits of our -- of the overall strategy that we're executing is by operation of the multiple brands, we end up with the density in given markets that we wouldn't otherwise enjoy. And so specifically in Los Angeles, we've already had the legacy DBA operations in Los Angeles. And as we had the opportunity to partner with Tom and Walter and buy in Marvir, that created effectively cost synergies or redundancies at the -- in the field, and this will kind of -- this theme should kind of repeat itself on the market-by-market basis as we continue to move forward. So if you think about it on an absolute basis, there's 2 facilities, 2 sets of phone bills, 2 sets of utility bills. There, ultimately, will be operational or probably some modest labor dollars savings associated with leveraging the combined workforce. And those are some of the things that we ultimately need to work through and why I don't want to get ahead of myself in the communications. But I -- my expectation is that we will be -- we will have kind of worked through those integration milestones hopefully by the end of December. So that's a long way of saying that our results from -- we're June 30 fiscal year. So our results for the period January '13 -- January 1, '13 through June '13 should be meaningfully better than our results for the period June -- excuse me, July 1, '12, through December 31, 2012, because of the cost synergies. So we're going to basically get a half a year of the cost benefits of combining these 2 organizations in our fiscal year ended June 30, '13. 
James Fonda: Okay. Great. That's helpful. And with the slowing of the economy and issues with Europe, do you think this presents a better opportunity for you in terms of acquisitions? Or does it make things more difficult now? 
Bohn Crain: I think the short answer is time will tell. What we can look to is our previous history kind of when in the, I guess what I'll call, the 2008 cycle, and that framework, what we found was an opportunity to do the Adcom transaction, which proved to be a great transaction for us that really helped. At the same time, the -- on a same-store basis, we were slower just like everyone else was, but the overall strategy that we were executing, we were able to outperform the market. So I am -- I'm certainly not hoping for a slow economy, but to the extent that we have one, I think we demonstrated that the strategy that we're executing can perform well. Remember, we basically have 2 flavors of organic growth. One is the traditional same-store growth. The second is on boarding additional agent stations. We've had good success in doing that historically, and that continues to be an attractive element of growth for us. So we're going to keep doing what we're doing. We think though there's going to be a lot of opportunity to continue to tuck in agent stations, both inherent to our existing network, as well as agent stations in our competitors' network. And if at least the early returns are that -- is that the Marvir transaction and integration is going incredibly well, and that's always been kind of our hope and expectation is that you think about a traditional consolidation strategy, one of the biggest risk is integration risk. But effectively, our agent stations are already pre-integrated. Their customers are our customers. They're already operating on our technology platform. So although we certainly have had our fits with DBA, we just don't have the same type of risk associated with the tuck-in of our existing agent stations. 
Operator: Our next question is from the line of Howard Halpern with Taglich Brothers. 
Howard Halpern: Where are you in terms of potential acquisitions or what development of additional products your established customer base that will drive some revenue and then maybe even drive some more top line margin? 
Bohn Crain: The 2 things that kind of move around a little bit -- that was kind of a bit broad question. Certainly, in terms of near-term acquisitions, as we kind of highlighted before, we're -- in the broadest sense, we're looking for complementary acquisitions in adjacent segments of the supply chain whether that's truck brokerage or customs brokerage. And -- but we will -- there's no reason to expect those are going to happen imminently, although they're part of our longer-term shopping list, if you will. On a more near-term basis, I think you'll see us doing more of these tuck-in type acquisitions that have -- limit what we believe to be limited integration risk that we can value and structure in a way that everybody can feel good about. On -- in terms of additional things that we're doing, I guess what I'll call organically, we've talked some on prior calls without the interest of the truck brokerage space. Well, just because we haven't found a good platform, doesn't mean we're not getting started on that initiative. So we're beginning to evolve kind of an internal organically launched truck brokerage capability for the benefit of the network. We buy -- as you might imagine, we buy a lot of truck brokerage services across the network. So we're trying to get ourselves organized to capture that opportunity internally. And similarly on the customs broker side of things, we have a similar kind of organic initiative underway to try to capitalize our internal or capture our internal business through some of these initiatives. 
Howard Halpern: Was there any disruption, I guess, in the quarter from the closure, I guess, on the East Coast due to Hurricane Sandy that might then reverse in the next quarter? Was there any disruption that occurred? 
Bohn Crain: Not in the quarter ended September. I think we will -- we're going to have to ultimately assess what, if any, impact Sandy had in quarter ended December just like you were describing. As we look at that, we'll also be looking for some potential reversal of that in the following quarter. We don't have particularly good visibility at this point in time of kind of a net-net result of Sandy. What I can tell you is our facilities are intact. We didn't take on any water. We did lose power for a few days in both Newark and JFK, but we're now fully back online with power. But the kind of the real question is how did the end customers that we serve, how did they fare, where are they in terms of coming back online and ultimately, what damage did they suffer, and what can we do as their partner to help get them repositioned to go again. They may have had inventory damages or their stores may have had water damage or they need to re-instantiate with fixtures. And so we'll be actively working with all of our customers to try to make sure we're there to help support them. It's really just too early in the program to be able to speak to that with any clarity. 
Operator: Our next question is from Jeffrey Kauffman of Sterne Agee. 
Jeffrey Kauffman: Well, a fair amount of my questions have been asked already. I guess, just a couple of smaller ones. The Oakland new office, is that a start-up? Or is that converting somebody's agency? 
Bohn Crain: That was a agent station -- that's an agent station that has joined us. So this was a group of entrepreneurs with an existing book of business that came and joined our network. 
Jeffrey Kauffman: Okay. And any guidance or should I just assume this is about as big as any other office in the network? 
Bohn Crain: Yes, I think that's fair. 
Jeffrey Kauffman: Okay. During the quarter, we saw an uptick in receivables days outstanding. Anything in particular related to a slowdown in receiving payments? Or is it just you're a bigger company? Or was there something more specific? 
Bohn Crain: No, I think it's really kind of reflective of our increase in revenues kind of supporting the business and kind of goes hand in hand with my earlier comment that we actually -- I think in the next quarter, you're going to see that receivable balance go down and some meaningful cash flow kick out of the bottom of our cash flow statement. 
Jeffrey Kauffman: Okay. So maybe working capital was a use of cash in the September quarter, maybe a source in December is what you're saying? 
Bohn Crain: Yes. 
Jeffrey Kauffman: Okay. What -- I think it was handed out earlier, the effects of the hurricane, the effect to the economy but from 10,000 feet, as you look across your network, where specifically are you seeing activity continue to be relatively robust? Where specifically, whether it's an industry or whether it's a geographic location, have you seen activity slow down? 
Bohn Crain: Well, we've definitely seen a slowdown on the Northeast. And I think we saw, I guess, what I would call a modest slowing just generally, and then Sandy certainly didn't help things in the Northeast. And the Northeast, at least from our way of thinking, typically kind of leads what happened and -- in terms of the overall kind of economic cycle as we kind of see the ebb and flow of kind of economic demand and the push and pull of things. Here, I would say, we -- our stronger areas remain around oilfield services or remains around Laredo and the cross-border activity there. And another area that has really served us well really pretty continuously is our position in and around international exports. If we were to draw a pie chart of our international business and we're predominantly airfreight, and we're predominantly export. And a lot of what we kind of read in the trades about kind of the emergence of manufacturing and demand for U.S. goods abroad. We've seen to be pretty consistently participating in that. So international exports has continued to be kind of an underlying positive trend for us given our network's current configuration. 
Jeffrey Kauffman: Okay. Final question, what is your, I guess, dry powder post-Marvir? 
Bohn Crain: We -- currently, as I was kind of alluding to, we have about $6 million drawn on our $20 million facility. So that would be plus or minus $14 million. And that's just on the notional amount of our $20 million facility. Obviously, as we make other acquisition, we get the benefit of the target receivables, and we could ultimately upsize the -- we can upsize our $20 million facility. 
Operator: Our next question is from the John Rolfe with Argand Capital. 
John Edward Rolfe: My questions have actually already been answered. 
Operator: And there are no further questions at this time. I would like to turn the floor back to Mr. Crain for closing comments. 
Bohn Crain: All right. Let me close by saying that we remain very excited with our progress and prospects here at Radiant and are bullish with the growth platform we created and the scalability of our non-asset-based business model. The heart of our growth strategy continues to focus on bringing value to the agent-based forwarding community, leveraging our status as a public company to provide our partners with an opportunity to share in the value that they helped create, providing a robust platform in terms of people process and technology, which is translating into better purchasing power with our vendors and better technology for our customers, and offering a unique opportunity in terms of succession planning and liquidity for our station owners. This approach has made us unique in the marketplace and has been key to our ability to grow even in tough markets. Radiant has a growth platform, and we look forward to reporting further progress to you soon. Thanks for listening and your support for Radiant Logistics. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.